Operator: Good day, ladies and gentlemen, and welcome to the second quarter 2010 Huntsman Corporation earnings conference call. I will be your coordinator for today. (Operator Instructions) I would now like to turn your presentation over to Mr. Kurt Ogden, Huntsman’s Vice President of Investor Relations.
Kurt Ogden: Good morning everyone. Welcome to Huntsman’s second quarter 2010 earnings call. Joining us on the call today are Peter Huntsman, President and CEO and Kimo Esplin, Executive Vice President and CFO. This morning, before the market opened, we released our earnings for the second quarter 2010 via press release and posted it on our website, huntsman.com. We also posted a set of slides on our website, which we intend to use on the call this morning in the discussion of our results. During this call, we may make statements about our projections or expectations for the future. All such statements are forward-looking statements, and while they reflect our current expectations, they involve risks and uncertainties and are not guarantees of future performance. You should review our filings with the Securities and Exchange Commission for more information regarding the factors that could cause actual results to differ materially from these projections or expectations. We do not plan on publicly updating or revising any forward-looking statements during the quarter. In addition, we may also refer to non-GAAP financial measures. You can find reconciliations to the most directly comparable GAAP financial measures in our earnings release posted on our website at huntsman.com. As we refer to earnings, we will be referring to adjusted EBITDA, which is EBITDA adjusted to exclude the impact of discontinued operations, restructuring, impairment and plant-closing costs, income and expense associated with the terminated merger and related litigation, acquisition-related expenses, unallocated foreign exchange gains and losses, and losses from the early extinguishment of debt. We focus on adjusted EBITDA from a management standpoint as we believe it is the best measure of the underlying performance of operations. And we have received feedback from many of you in the investment community that this is how you prefer to look at our business. A reconciliation of EBITDA, adjusted EBITDA and adjusted net loss/income can be found in the appendix of our slides and in our second quarter earnings release. Let’s go ahead and turn to slide number two. In our earnings release this morning, we reported second quarter 2010 revenue of $2,343,000,000; adjusted EBITDA of $257 million and adjusted earnings per share of $0.31 per diluted share. Our adjusted EBITDA increased to $257 million in the second quarter 2010, compared to $93 million in the prior year and $123 million in the prior quarter. The improvement in earnings compared to both periods was overwhelmingly the result of improved demand and corresponding higher sales volumes across all of our businesses. We look forward to sharing more details about this improvement with you. I will now turn the call over to Peter Huntsman, our President and CEO.
Peter Huntsman: Thank you very much, Kurt and thank you to everybody for joining us this morning. Let’s turn to slide three to talk about our Polyurethanes division. Our Polyurethanes division adjusted EBITDA of $71 million reflects two separate trends within the division. More specifically earnings with our MDI urethanes business continued to improve whereas Propylene Oxide/MTBE earnings have declined. In the second quarter sales revenue for our MDI urethanes business increased 34% compared to the prior year and 9% compared to the prior quarter. The favorable increase in revenue was primarily due to a combination of strong demand in MDI growth and higher selling prices implemented to offset higher raw material costs. In Europe, our largest market, we saw double digit growth in both a year-over-year and sequential basis largely as a result of strong demand for installation even with an overall soft construction market. We saw strong sales volume growth in the Americas despite a slow housing market. MDI substitution for other less efficient products is most evident in these more developed economies. Overall demand in Asia slowed somewhat in the second quarter compared to the first but increased compared to the prior year as customers reduced inventories and some Chinese government stimulus initiatives ended. Price initiatives were announced in all regions and are progressing but overall margins were squeezed with the increase of raw material cost. Strong demand for MTBE outside the United States has attracted additional production capacity in the U.S. to supply the market. The second quarter MTBE Gulf Coast sea factor, which is a published industry benchmark used to set contract selling prices was half of what it was in the prior year. As a result, although our Port Neches, Texas facility is operating at full capacity following a turnaround in inspection in the first quarter, our PO/MTBE earnings were well below normalized level. Let’s turn to slide four and focus on our Performance Products division. Earnings within this division improved tremendously to a $116 million. Although $15 million of this was the result of a non-recurring credit related to our Sasol-Huntsman Maleic Anhydride joint venture in Moers, Germany. I am very pleased with the underlying performance of this business. In the second quarter we saw double digit increases for both selling prices and sales volumes compared to the prior year. An increase in margin was a significant factor in the increase in earnings. Selling prices increased across virtually all product groups while raw material prices stabilized during the quarter. The business also benefited from better operating performance at our Port Neches, Texas facility where we had some unplanned outages during the first quarter. Demand recovery has been strong across the globe particularly in North America and Asia Pacific. We saw demand recovery across all of our product groups but most noticeably in amines and certain of our surfactants. We have recently announced our intent to increase our total Polyurethanes capacity approximately 20% by 2011 through debottlenecking projects at our Singapore and (inaudible), UK facilities. Recently we entered into an agreement to purchase the amines and surfactants businesses of Laffans Petrochemicals in India. The acquisition cost is approximately $21 million including debt, a non-compete agreement and other obligations. This business has revenues of approximately $45 million and will be immediately accretive to earnings. We expect to close on this acquisition in the first half of 2011. With the U.S. housing market remaining slugging, unsaturated polyester resin demand for products such as bathroom fixtures has been soft. However we have managed to reduce our unsaturated polyester resin exposure to a greater penetration in other markets such as automotive, oil additives and paper. Looking forward, we think this will give us a more constant demand profile for our Maleic Anhydride business. We are quite excited about our opportunities for this division and view it as a key growth engine for the future. Let’s turn to slide five. Adjusted EBITDA for our Advanced Materials division in the second quarter improved dramatically to $52 million. Our formulated systems and specialty components businesses represent approximately 90% of the earnings of this division, increased sales volume within these businesses with the overwhelming reason for the increase in earnings. Demand within these businesses improved 33% compared to the prior year and 11% sequentially. This strong recovery in demand was most evident in our wind and automotive markets. In addition, raw material cost decreased provided stronger contribution margin. We produced approximately 100,000 tons of Base Liquid Resins each year which is a more commoditized product. We consume approximately 30% of this internally and the remainder is sold in the open market. Earnings improved for our Based Liquid Resins business primarily as a result of double digit increases in selling prices both on a year-over-year and sequential basis. Turning to slide six, our Textile Effects division reported $8 million of adjusted EBITDA in the second quarter, a significant improvement in a business that has garnered a lot of scrutiny since its acquisition. We saw volume increases in all product groups in global region. Our year-over-year volume improvement of 10% understates the significant improvement in demand we have seen. In 2010, we exited certain low margin commodity markets excluding the 2009 volume, our year-over-year sales volume increase was 20%. Sales volumes increases in apparel and home textiles were the strongest tat 19% compared to the previous year. Retail sales continued to improve although at a more modest pace than we saw during the first quarter. The U.S. remains the largest consumer of our textile effects business, we will see more earnings improvement as the U.S. consumption returns. Our product mix continued to improve. We have been focused on select market segments such as high end reactive dyes, wools, automotive and sporting apparel where we believe customers are willing to pay for the innovation and technical support we are able to provide. As a result, our underlying sales product mix has improved along with the return in general demand. This business has undergone dramatic restructuring efforts over the last few years and within the last few weeks we announced additional restructuring efforts to consolidate production facilities in (inaudible) Switzerland further enhancing our competitiveness. Let’s turn to slide seven. Our pigments division earned $49 million of adjusted EBITDA in the second quarter. This greatly improved level of earnings is the result of two primary factors. First, improving industry dynamics and second self help benefits derived through restructuring programs. We continue to see a recovery in demand for quality pigments across the globe. Sales volumes are within or exceeding historical ranges globally with the exception of the U.S. and Canada, and Europe which represents approximately half of our sales volume, we are experiencing broad based demand recovery in all major TiO2 consuming countries. As a result of structural long-term and unplanned short-term supply reductions across the industry, the supply demand balance for quality pigments remains very tight and this is expected to continue. As mentioned in our investor day meeting in May, approximately 7% of the industry capacity has been closed or idle. We continue to see positive momentum on our price increases announced earlier and expect further benefit to flow into the third quarter. Our stronger earnings are also the direct result of our restructuring efforts focused on reducing fixed costs, improving our manufacturing efficiency and realigning our market focus. Part of this restructuring included adding new capacity to our Greatham, UK facility while closing our Grimsby, UK site. In addition, we idled our Huelva, Spain facility in 2009 in the midst of the recession and have since brought restructured facility back online earlier than originally planned in order to satisfy the recovery in demand. Before sharing some final thoughts, I would like to turn a few minutes over to Kimo Esplin, our Chief Financial Officer.
Kimo Esplin: Let’s turn to slide eight. We have shown a quarterly year-over-year sales volume charts for the last several calls and we think it’s a good measure of underlying demand as it compensates for seasonal fluctuations but of course, doesn’t take into account product mix variations. We have made some adjustments to remove the effects of tolling, by-products and certain businesses that are no longer a part of our business portfolio. We’ve also added line showing our actual pounds sold and our 2007 pounds sold by quarter, as that was the last full normalized demand year we have had. Our volumes for the second quarter increased 19% compared to the prior year which was down 18% compared to the second quarter of 2008. Compared to the second quarter of 2007, our volumes were down 2%. More specifically we were well below the 2007 volume pace in pigments and textiles, approaching 2007 volumes but still below in Polyurethanes and Advanced Materials and exceeding the 2007 levels of demand for Performance Products. We are encouraged by the overall improvement in demand trends and expect to continue as the global economy improves. On to slide nine. In the second quarter 2010, our adjusted EBITDA increased to $257 million from $93 million in the prior year. The primary reason for the year-over-year increase in adjusted EBITDA was a significant increase in sales volumes. You heard Peter talk about the improvements in demand within each of our businesses. The overall impact of the demand recovery is more transparent on this chart, which shows volume accounted for $119 million of the $164 million year-over-year increase in earnings. We also saw a positive benefit in margins as average selling prices increased more than direct costs which include our raw material costs. Compared to the first quarter of 2010, our second quarter adjusted EBITDA increased $134 million. Our first quarter earnings were negatively impacted by $51 million in production disruptions at our Port Neches, Texas facility. Improved operating performance as well as an increase in seasonal and general demand led to increased sales volumes which accounted for $135 million of our sequential improvement in earnings. Turning to slide 10, our year-over-year sales revenue for the second quarter increased 27% as a result of improved recovery in global demand and higher average selling prices. Sales recovery was most dramatic in the U.S. and Canada and Asia Pacific regions which both improved by more than 30%. The rest of the world region, which includes Latin America, improved 26% whereas Europe was the laggard at 18% improvement. Two thirds of our revenue comes from our Polyurethanes and Performance Products divisions, which recorded revenue increases of 34% and 39% respectively. In total, our sales volumes improved 19% and average selling prices increased 7% in local currency terms. On quarter-over-quarter basis, the 12% improvement in revenue was the result of seasonality and improved global demand. We saw double digit growth around the globe with the exception of Europe. All of our divisions saw an increase in sales revenue. Volumes improved 19% whereas average selling prices decreased in local terms 4% corresponding to lower raw material costs. Average selling prices decreased another 3% as the U.S. dollar strengthened against major European currencies. Let’s turn to slide 11. During the first six months of 2010, we saw the value of our primary working capital increase as a result of increased selling prices reflected in accounts receivable and the absorption of higher raw materials costs reflected in inventory. Our accounts receivable also increased as a result of higher sales volumes stemming from an improvement in overall demand. Inventories increased primarily due to higher raw material costs as well as increased raw material inventory volumes to support increased customer demand. On a year-over-year comparison, inventory volumes increased 1%. Slide 12. At the end of the quarter we had approximately $773 million of cash and approximately $412 million of unused borrowing capacity summing to a total of $1.2 billion of liquidity on hand. This amount is more than adequate to provide operating flexibility and strategic growth for the company. Capital expenditures for the quarter were $41 million and $78 million for the first half of 2010. Given our current pace of spending, it is unlikely we will spend the $275 million targeted earlier in the year. As a result, we have lowered our 2010 capital expenditures guidance to approximately $225 million to $250 million. During the second quarter, we received $110 million from reinsurance carriers in the final settlement of our insurance claim as a result of the April 2006 Port Arthur, Texas fire. On June 22, 2010, we used all of those proceeds to prepay $110 million of bank term debt. This settlement closed the lengthy arbitration process that resulted in recoveries of approximately $475 million between 2006 and 2010. We continue to be proactive in reducing our outstanding debt in addition to the $110 million debt prepayment I just discussed, we also prepaid $164 million of our bank debt on April 26, 2010. I will now turn the time back over to Peter for some concluding remarks.
Peter Huntsman: At our recent investor day meeting in May, we outlined normalized levels of EBITDA based on historical averages for our current business of $1 billion that we expect to achieve on a run rate basis sometime in 2011. The first half of 2010 puts us well on track to achieve those levels in all of our businesses with the notable exception of one, Polyurethanes. The Polyurethanes growth story is well intact, but prices have lagged raw material prices. As MDI margins improve in the coming quarters, the company will meet and exceed normalized run rate levels of profitability. We continue to have confidence in these levels of profitability they will be achieved in 2011. In spite of a sluggish EU and US economy and raw materials remaining stubbornly high, we continue to see growth markets for our products, both technologically and geographically. While the rate of growth may temporarily slow in Asia and our industry will see a customary slowdown in demand within Europe as a result of the summer holiday period, we continue to believe that as the global economy continues to gradually recover we will see earnings improve. While we experienced our best operating results during the second quarter that we’ve achieved in over two years, I do not believe this to be peak performance. We continue to have new product applications to bring to market, opportunities for further growth in developing markets around the world and idle capacity that we will gradually bring back on line as demand improves. We continue to maintain a strong balance sheet, focus on keeping our cost competitive and aggressively growing our market share through better service and innovation. There is no doubt that these continue to be tough market conditions, but we are very confident in our direction and look forward to an even stronger future. With that, I’ll turn it back over to Kurt.
Kurt Ogden: Thank you, Peter. Carol, that concludes our prepared remarks. Would you explain the procedure for Q&A, and then open the line for questions.
Operator: Thank you, Kurt. (Operator Instructions). Gentlemen, your first question will come to you from the line of Robert Koort of Goldman Sachs. You may proceed, sir.
Louisa Herman – Goldman Sachs: Hi, this is Louisa Herman in for Bob.
Peter Huntsman: Hello Louisa.
Louisa Herman – Goldman Sachs: Can you guys just give us a bit more detail on the weak margins that you guys experienced in all European segment, and, maybe, give us a bit more breakout what MTBE percentage was in terms of sales and margins?
Peter Huntsman: Well, as we look at the weaker margins in Polyurethanes, we’re able – for instance in Asia, we were able to maintain a 10% improvement in pricing. And I think as I mentioned in my comments that this is really about us catching up with our raw materials price increases, we continue to achieve an increase in our selling price. And we believe – again, we continue to see an increase in growth as well. We’ve seen an increase on a sequential basis and year-over-year basis in Europe and in the America. We saw a bit of a decline in Asia in the second quarter. But I think that as we look at our margins in MDI and then Polyurethanes, we’re very optimistic that with the price increases that we were able to achieve in the second quarter, the price increases that we have announced going into the third quarter that we will continue to make headway and to be able to improve on those margins that we obtained in the second quarter. The second part of your question was around MTBE.
Louisa Herman – Goldman Sachs: That’s correct.
Peter Huntsman: What was that question again?
Louisa Herman – Goldman Sachs: I’m just trying to get a sense of the impact here that MTBE is having on these margins. You said that, in the quarter, you had lower margins for MTBE and we see that you had a 10% decline sequentially in terms of pricing. So I’m just trying to get an impact on what had and what that could have going forward.
Peter Huntsman: Louisa, in the Investor Day, you remember – we gave you an average sort of normalized PO/MTBE number of – I think it was $94 million, roughly a $100 million. When you look at the second quarter, PO/MTBE profitability, that’s well below 50% of sort of that run rate to give you a sense for what we’re expecting or what we’re currently operating at.
Louisa Herman – Goldman Sachs: Okay, thank you.
Peter Huntsman: And then, obviously, I just want to make sure that we reiterate this, MTBE is a product that is priced on a global basis, literally on an hour-by-hour basis. This is unlike MDI or amines or anything else that we’re able to go out and announce a price increase, we’re able to obtain a higher value for the product because of our service or because of our quality. MTBE is a component of the gasoline pool and the value of it is really set by overall global markets around gasoline.
Operator: Okay. Gentlemen, your next question is going to come to from the line of Frank Mitsch of BB&T Capital. Please go ahead.
Frank Mitsch – BB&T Capital: Good morning, gentlemen.
Peter Huntsman: Good morning, Frank.
Frank Mitsch – BB&T Capital: Hi. Peter, I was wondering if you could talk about the pace of business that you’ve experienced in the second quarter and how July was as well, if you can give us some idea there. Were things getting better as you were progressing through the quarter?
Peter Huntsman: I think that we saw things gradually getting better as we went through the quarter. Obviously, there is some lumpiness that occurs. I’m not sure that that’s a correct financial term.
Frank Mitsch – BB&T Capital: Okay.
Peter Huntsman: But as you go out for instance in Asia, where we saw a demand drop in something like MDI and yet at the same time we were able to obtain a 10% increase in prices in Asia, obviously, you’re going to have pretty bind that most likely took place in the first quarter, people building stocks, prices go out, they’ll work through stocks sometime during the a part of the second quarter and then they come back into the market. And to what degree and how quickly they come back into the market, that’s subject to overall market demand and so forth. But as we see on a global basis, again, I think that as we look throughout the quarter, I think, again, there might be some notable exceptions. But I feel that throughout the quarter that we gradually saw a momentum building on a global basis and on volumetrically and on a margins basis. Looking into July, it really is just too early, Frank. I’m not trying to avoid your question. I’ve not seen any earnings yet coming in from many of our divisions and so forth. The volumes look – they look like a lot like they were in June. And I would expect in August, we’ll see a little bit of a slowdown in our European businesses as we go through the typical holidays period, but that’s experienced really by all of them, not just the chemical industry, but industry in general. And, but I – as I look at the business today, it still feels – it feels good.
Frank Mitsch – BB&T Capital: All right, that’s helpful. And, Peter, I was struck by the comment talking about MDI business you were talking about, strong installation demand in Europe. Can you expand upon that?
Peter Huntsman: Well, as we look at the various applications that we have in Europe, installation we have spray on foam, we have some relatively new applications in Polyurethanes, we were able to go into existing buildings, and more readily apply our products in existing buildings, in retrofitting buildings, new constructions, power constructions, new applications where in Europe you are seeing a very anemic construction market, but you’re seeing legislation in Europe. And I would note that that legislation we have seen is moving more and more to North America, where building standards are improving and people are being forced to have higher insulation values. And as you see legislative change like that taking place, we’re really have started in Europe and is moving into Asia and North America now. Polyurethanes is really one of the few products, it’s not the only product, but it’s certainly one of the few products that can readily meet the higher specifications, and so forth, around insulation and building materials.
Frank Mitsch – BB&T Capital: So you’re seeing the legislative is having a material impact on your business in Europe right now.
Peter Huntsman: Well, I would think that as we look at something like insulation in Europe, where there is very anemic growth in construction, yes, I would – yes, the short answer to that is yes, we are seeing meaningful improvement in our businesses and continuing improvement in demand. And I would just note that I would be quite optimistic as I gradually see that legislation moving more and more towards energy conservation, moving into North America and Asia as well.
Kimo Esplin: Frank, the Europe MDI sales were up sequentially 19% year-over-year and 22%. And when you look at insulation, very similar numbers globally. We’re seeing quarter-over-quarter volumes up 22% and year-over-year 19%. So insulation continues to be a big driver.
Frank Mitsch – BB&T Capital: Terrific. Thank you so much.
Peter Huntsman: Thank you, Frank.
Operator: Thank you, sir. Gentlemen, your next question will come from the line of P.J. Juvekar of Citi. Please proceed.
Eric Petri – Citi: Good morning, guys. This is Eric Petri standing in for P.J.
Peter Huntsman: Hi Eric.
Eric Petri – Citi: On Polyurethanes, can you discuss sales and margin expectations by region for second half, despite reconstruction market outlook and recent competitor comments on lower polyurethane margins? And, more specifically, what are you seeing in China?
Peter Huntsman: Well, I think that at this point, I’ll avoid anything that talks – and specifically in third quarter margins on MDI, not because I’m trying to avoid the answers, as much as I just don’t know as I look at the volatility around benzene, around – pricing around demand. But, overall, as we look at the second quarter versus the first quarter, where we saw the most volatility was certainly in Asia, and I would say that that was brought about by two areas. One is a – as we look at appliances, a lot of the stimulus packages that the Chinese Government had in place around the purchases of appliances, mostly energy efficient appliances. Those stimulus packages entered during the first of the year. And so as I look at something like appliances, the volume of appliances on a worldwide basis, on a quarter-to-quarter basis, we saw the demand there shrink by about 6%. Again that is quite counter to flow that we’re seeing in the insulation market where we are seeing that same prior quarters toward growth in the low-20 improvement. So I look at the – that small section of the stimulus program in Asia coming to an end. And I mentioned earlier about the pre-bind that took place in the first quarter ahead of raw material – ahead of MDI price increases in the second quarter and we continue to move prices up in the third quarter on a global basis. But, again, we continue to see improvements in demand moving into the third quarters as I look at the order patterns. But, again, now that we’re – we haven’t got any results in from July, and it certainly is too early to talk about third quarter. But from what I’m seeing thus far, it looks like the demand will continue to grow into the third quarter.
Kimo Esplin: The only thing I’d add is – remember, MDI margins have been squeezed a bit by benzene prices and benzene pricing can be a regional effect. For example, year-over-year, US benzene prices were up 68%. In Europe, they’re up 85%. When you look at it sequentially, America benzene prices fell, but European prices rose 12%. And so we saw some squeeze in Europe, because of benzene prices. Having said that as we sit today benzene prices are lower to date than they averaged in the second quarter of 2010. So there is always a bit of a lag. These are not contracts in MDI that pass through benzene, there tends to be 30 day to 90-day lag depending on these individual markets. And so, we see price initiatives, we’re moving prices up. And depending on where benzene flies up in the next few months, will really drive that regional margin question you asked.
Peter Huntsman: So those benzene prices that Kimo talked about today, let’s just remember that that would work into our system in the coming two months to three months. Now, those aren’t instantaneously going into our system today.
Eric Petri – Citi: Okay, great. And, could you discuss what end markets drove incremental EBITDA and margin improvement within Performance Products and Advanced Materials?
Peter Huntsman: We’re seeing end-user market segments, they’re going largely in wind energy, in aerospace. And as you start getting into Advanced Materials, you start breaking it down on a market-to-market basis. You’re really getting in – excuse me, you’re talking about Performance Products or Advanced Materials?
Eric Petri – Citi: Both.
Peter Huntsman: Both. Okay, in Advanced Materials, it largely is around the wind, demand in wind, and in aerospace. As we look at the demand that is coming from our Performance Products, a lot of that is coming from our surfactants and specialty amines. And there you’re literally talking about scores of end-used applications. Some of those end-used applications that we’re particularly excited about continue to see strong growth, then would be gas treating. That would be amines that are used to take a lot of the sour, the sulfur compounds and so forth out of natural gas, liquids, and refine products. It would be in the wind industry, amines are used for curing epoxies in the construction of windmill blades. So the amines don’t actual go into the blade itself. They’re helping with the curing of the epoxy in the manufacturing process of building these blades. As we look in – particularly in Asia, the strong demand in Asia around amines, around concrete curing, a lot of the bridges, the rail work and so forth, that it’s taking place on a multiyear basis in China and throughout Asia. We’re seeing our products going into these end-used applications. And our surfactants applications continued to grow. A few years ago, we were largely dependent in our surfactants around personal care products and we sent and have expanded our surfactants application, end users going into the paper industry, into agricultural applications and so forth. So as we look at the Performance Products and as we look at the Advanced Materials, we’re really talking about – well, we may be talking about two or three broad end-used categories that really is going into scores of even hundreds of end-used applications beyond that.
Kimo Esplin: Eric, I’ll add. You remember Performance Products is the division we probably had the most investment in over the last three years or four years, including the new Singapore polyether amine facility, Saudi Arabian ethylene amine facility, and a new Maleic Anhydride facility in Geismar, Louisiana. You’re really starting to see the benefit of those investments that, because of the downturn in the economy in ‘08 and ‘09, you really didn’t see.
Eric Petri – Citi: Great, thank you.
Operator: Thank you, sir. Gentlemen, your next question will come from the line of Roger Spitz of Bank of America Merrill Lynch. You may proceed.
Roger Spitz – Bank of America Merrill Lynch: Thank you. Could you talk about how tight each of epi (inaudible) they are and how much you think that may have impacted Q2 EBITDA?
Peter Huntsman: Well, you remember, we do produce epi and bisphenol A. We purchase them, tend to be longer-term contracts. And it did not limit our ability to produce base liquid epoxy resins or formulated resins.
Roger Spitz – Bank of America Merrill Lynch: You’re saying that – I was thinking then if it was tight, maybe the price for these for epi and bisphenol A were up it might have had an impact on your liquid epoxy resin.
Peter Huntsman: On a sequential basis, prices were fairly flat in BPA and epi. Base resin profitability was fairly flat, which we have suggested in the last couple of quarters is pretty well breakeven for our business.
Roger Spitz – Bank of America Merrill Lynch: Got it.
Peter Huntsman: So this is not – if you’re really asking Roger, if this is a base resin commodity flip, it’s not. This is really driven by our formulated business, our base resins aren’t generating incremental margins relative to a year-ago or even first quarter.
Roger Spitz – Bank of America Merrill Lynch: That answers my question. In pigments, could you give a sense of the timing amount of any price increases – recent price increase that were actually achieved, so we get a sense of what the uplift might be from achieved price increases?
Peter Huntsman: As we look at the price increases in July that we are implementing. In Europe, it’s a $120 a ton, naphtha it’s around a $112 a ton, around A-PAC, it’s around $77 a ton, and rest of the world it’s around a $120 a ton. So how much of this will actually be – will be successful, I’d say that we’re lucky to get 50% to 75% of this actually coming through being successful. Obviously, we’re going to be pushing this quite aggressively. But we do expect pigment prices, sales prices to be going up during the third quarter.
Roger Spitz – Bank of America Merrill Lynch: And if you announce in July, when would that actually be capture? How quickly does it move through the system?
Peter Huntsman: Given the fact that we – typically, if you go on quarterly pricing, so what we’ll be announcing in July would be coming in 90 days after that. As I’ve said on previous calls, there’s such a backlog of price increases in pigment, I believe that we will be able to achieve many of these price increases during the month of July and moving into August. And as we look at the inventory days in TiO2, we’re bidding today as an industry around 37 days of inventory and that’s about as lows as it’s been in about two years and that largely is because of improved demand. Whereas two years ago, it was just plain bad economics, everybody was shutting down capacity, inventories were down because of the margin squeeze that was taking place on the producer side. Today, its inventories are down because of the improvements in demand that we’re seeing in Europe and in Asia. So I think there was a low inventories with the price announcements that are been made in the second quarter moving into the third quarter, I would expect in the third quarter that we should see an improvement in pricing in Pigments.
Operator: Gentlemen, your next question will come to you from the line of Laurence Alexander of Jefferies. Please proceed.
Amanda Sigouin – Jefferies & Company: Hi good morning, this is Amanda Sigouin on for Laurence.
Peter Huntsman: Hi Amanda.
Amanda Sigouin – Jefferies & Company: First question, what were the utilization rates MDI and TiO2 in the second quarter?
Peter Huntsman: If you look at our MDI capacity rates, they’re operating at about 95%, now and that’s globally, now when I talk about 95%, let’s remember that there is about 15% of the industry right now and I’m talking about public announcements that is idle. So when I talk about operating at 95% of effective capacity that’s after taking out 90, or excuse me, 15% of the idle capacity. So how much of that idle capacity will gradually be restarted and moved toward discipline will to be in the restarting of that idle capacity, that’s probably be the lingering question that I’m in no position here to answer as much of that capacity is in the hands of our competition. We have a 150,000 tons of idle capacity right now. So as we look at the – if global demand improving and so forth, we’re looking at gradually brining that capacity back into the market as demand wants it. And so again on a effective capacity basis, it’s running about 95% capacity, but there is quite a bit of idle capacity that’s in the market right now.
Kimo Esplin: And just to add, that can change very quickly. Globally, there is about 4.5 million tons of demand and we expect 2010 to see global growth between say 10% and 15%. So if there is 750,000 tons of idle capacity globally and that Peter’s 15% number, that can change very quickly if you sustained growth for 12 to 18 months.
Amanda Sigouin – Jefferies & Company: Okay and also could you please talk about how you think about balancing de-leveraging and any opportunities going forward, and if you could just comment on the strength of the M&A pipeline. Thanks.
Peter Huntsman: You had also asked about TiO2 capacity, if I can just answer that quickly.
Amanda Sigouin – Jefferies & Company: Thanks, sorry.
Peter Huntsman: Yes, the TiO2 capacity, we believe that the overall operating rates for the industry is about 97% and as we said during our Investor Day conference, that we believe that about 7% of the overall industry capacity has been shut down. And perhaps a little bit more than that is been temporarily idle and or there have been some short term maintenance problems particularly in Europe. So that 97% capacity is obviously subject to change but anytime when an industry is operating at 97% capacity and there is a sort of pricing margins demand and so forth, it would tell you that about everything that effectively can be operating today TiO2 is operating, I will Kimo talk about some of the balance sheets and liquidity issues, I will just stay on the M&A side. We recently announced the acquisition of Laffans Petrochemicals in India. We see this as a very strategic built on acquisition of around $20 million and as you look over the last seven years, a lot of people, I’ve kind of looked at Huntsman is being a company goes and makes these wild belts and leveraging up our balance sheet. I would just remind you that over the last five, six years here, with the exception of Textile Effects, which we purchased for about $170 million. Most of all of our acquisitions have been smaller acquisitions, most of them we believe are accretive on day one, they fit in very neatly into our overall portfolio of businesses and we’re able to achieve very quick synergies and so forth. They improve our overall capacity utilization. And I think it’s this sort of the trend every other quarter or so of looking at these smaller built on acquisitions that we are able to assimilate very quickly and very effectively that are accretive on day one. I believe that this is going to be an area of opportunity for us. And is not to say that we’re not looking at larger acquisitions at the same time, I think that it’s now public information that we look very closely at the Kronos acquisition and I believe that when you like at synergies and so forth, that would have been a very good acquisition for Huntsman. But I think that if we certainly are going to be during these times of economic uncertainty, we want to make sure that we maintain a strong balance sheet, strong position of liquidity. And perhaps be a bit more cautious with the larger acquisitions in potentially bringing on more debt.
Kimo Esplin: We have about $3 billion of net debt. We have talked about roughly a $1 billion of normalized EBITDA which of course is roughly three times leveraged. We have stated clearly for the last year or so that our target in the next two to three years would be between 2 and 2.5 times total net debt to normalized EBITDA. So we need to pay down at least $0.5 billion of net debt over the last couple of years, or over the next couple of years and we think it’s very achievable with the free cash flow we would generate once we get back to those normalized task.
Amanda Sigouin – Jefferies & Company: Okay, thank you.
Operator: Thank you ma’am. Gentlemen, your next question will come from the line of Bill Young of ChemSpeak. Please proceed.
Bill Young – ChemSpeak: Good morning, gentlemen.
Peter Huntsman: Good morning, Bill.
Bill Young – ChemSpeak: You mentioned the (inaudible) and of course MDI, I think you’re strategy is to move downstream into the value added parts for those businesses. Can you give us an update on how this is progressing and it’s not progressing fast enough in the urethanes but why don’t you fill us on that please?
Peter Huntsman: Well I think that is progressing well in both areas Bill. On the advanced material when we look at 90% plus of our earnings coming from the formulation and specialty components side, I think that we would like to focus on consuming even more of the commodities BLR taking that internally and moving that into specialty formulations and specialty component application. And so I think we’ve been very successful in transforming that business. Again well 90% of our EBITDA is coming out of those specialty formulated ends where you’re looking at selling into literally hundreds of end-used applications, whether there I no one dominant competitor in those various fields and so forth. In the area of MDI, I think that as we look at our ACE growth, overall prior year and when I talk about ACE, I’m talking about our coatings and elastomers and adhesives end of our business for MDI. Looking at our growth sequentially at 5% year-over-year, 22%. We continue to see strong growth in this area. And I think that as we look at those areas where I mean it sounds like it’s a non-commoditized or makes down more commoditized we talk about construction and insulation, but when we talk about quarterly and yearly growth in the low 20s, mostly coming from mature economies, in the insulation and so forth. I’m quite excited about the growth prospects in these areas around energy conservation and so forth. I think as we look at in the coming years, not just in the coming quarters, in the coming years, these are real growth market for us and I think we have a tremendous pipeline of new products that are coming, new applications that are coming in and so, I think that we’ve been successful in those areas. I would just remind you that in the area of MDI, when we look at our more specialty component end-used applications, those typically are more stable in their pricing and it might be more susceptible when we talk about benzene prices going up week-on-week or month-on-month typically when you look at adhesive end-used applications or a coating and elastomer, some of the long-term pricing that goes into insulation. Those aren’t going to be filled around raw material pricing. We want to sell those products around the properties that they are able to achieve and the value they’re able to bring to customers. We don’t want to be going back to customers and adjusting those prices. So some of that you’re going to see perhaps some volatility in the margins because those prices don’t move as quickly which is really I think most specialty products are kind of in that same arena as you know, Bill. And so I wouldn’t interpret that because we see an inability to move our pricing as fast as raw material to somehow think that we’re not successful in getting into end-used applications more specialty end-used applications, but contrary I think that’s assigned that we are moving aggressively in those areas.
Kimo Esplin: Over half of our sales are system sales and not MDI component sales. And that’s being growing too over the last couple of years.
Bill Young – ChemSpeak: Over half versus say what was it a couple of years ago?
Kimo Esplin: I don’t have that number but it’s certainly been growing steadily as we’ve grown our systems businesses Bill.
Bill Young – ChemSpeak: Okay, great. So the second, the electronics area, I don’t think you mentioned that – if you did I didn’t catch you when talking about advanced materials, how are things been progressing there?
Peter Huntsman: We’re just looking for the (inaudible) here but that’s not a – it’s quite a profitable but it’s not a large end use application for us. We think more about electrical insulation for transmission lines and so forth in our business as opposed to electronic components. The power generally is a pretty big business for us.
Kimo Esplin: So as we look at something like power, where we’re getting in and we’re replacing porcelain and some of the new transmission lines and so forth that are using carbon fiber support and so forth. As we look at the sort of the growth in the last couple of years and now into the business we’re seeing on an annualized basis, a solid 8% to 9% growth in those areas.
Bill Young – ChemSpeak: Okay, great. Thank you very much.
Kimo Esplin: Thank you.
Operator: Thank you sir. Gentlemen, your next question comes from the line of Philip Birbara of RBS. Please proceed.
Philip Birbara – RBS: Okay, thank you. Hey guys, I think you mentioned that the PO/MTBE segment was, EBITDA was about 50% normalized and this is now when you’re seasonally strong quarter for that. So I was just wondering what was going on there?
Peter Huntsman: I think that it was a combination of higher raw materials and frankly the early part of the quarter refining margins were just playing bad. As we look at and again I know that this is going to sound somewhat confusing but MTBE is the unique product and that its raw material are more closely related to natural gas being methanol and being butane prices. And so as you will see times for instance last year, if you would go back a year ago and look at third and fourth quarter of 2009, MTBE during the slow driving period and during bad refining times, MTBE margins were some of the strongest we’ve ever seen. And that was because we saw a low raw material cost going into a product that typically competes with crude oil based raw materials. I think longer term, I wouldn’t say here as I sit here today looking over the next couple of quarters. I’m quite bullish on MTBE, not that it necessarily exceeds its normalized bases but as I look at second quarter results, I think that there is definitely room for improvement, merely the fact that as you look at the – you’re looking at a crude based pricing for MTBE and you’re looking at a raw material component that is natural gas based. And as I look at natural gas prices in North America, I think that they’re going to be lower than its relative value to crude because of all of the Shale gas and the amount of gas that’s being produced in North America. So longer term, again I’m not here saying that MTBE is going to go up to the roof, I think that we opt to be able to maintain that closer to that historical level of earnings for MTBE rather than where we were in the second quarter.
Kimo Esplin: The driving season hasn’t been what it’s been in the past years as well. The whole gasoline fuel is down significantly in Europe and the US and with that driving season demand on the sea factor as well.
Philip Birbara – RBS: And do you have any significant turnarounds in the second half of the year that might affect your results?
Kimo Esplin: We certainly don’t have anything to be affected we had in the first quarter when we saw the PO/MTBE plant that was down first 60 some odd days. We will be doing some maintenance work on some of our MDI facilities and so forth, but those are typically going to be around one to two weeks and they would have singular less than $10 million sort of impacts here and there and those are typically T&I that we do on a yearly basis. So I’m not sure that it’s going to be anything that’s out of the ordinary.
Philip Birbara – RBS: All right. Thank you guys.
Operator: Gentlemen, your next question will come to you from the line of Bob Cornell of Barclays Capital. Please proceed Bob.
Peter Huntsman: I think that given the time constrains and so forth, we may take this one as the last question here Bob.
Bob Cornell – Barclays Capital: That was good one. Well I think you just actually answer this in part, because my first one was in the adjustment EBIDTA year-over-year in Polyurethanes and I think you referenced the natural gas raw material impacts, so forth, but maybe just clarify why just the EBITDA was down so much in Polyurethanes on such a strong increase in volume year-over-year?
Peter Huntsman: I think most of that had to do with MTBE and as we look at MTBE on a year-over-year basis, second quarter, it was down nearly $40 million.
Kimo Esplin: And then there was a bit of a squeeze, well volumes were up and obviously that was a positive variance and prices were up year-over-year for MDI and Polyurethanes (ph), raw materials exceeded that and so there was a squeeze and what we’ve said as with price initiatives we think we are going to regain that an expand contribution margins relative to rise.
Bob Cornell – Barclays Capital: And what period?
Kimo Esplin: Second half, we think margins will expand in MDI.
Bob Cornell – Barclays Capital: Thank you.
Peter Huntsman: Thank you. And operator I think that that concludes the time that we have available this morning.
Kimo Esplin: Thanks everyone for joining us.
Operator: Ladies and gentlemen, that concludes your conference for today. Thank you very much for your participation and have a great day.